Operator: Good morning, everyone. Welcome to Tecsys’ Third Quarter Fiscal Year 2025 Results Conference Call. Please note that the complete third quarter report, including MD&A and financial statements, were filed on SEDAR+ after market close yesterday. All dollar amounts are expressed in Canadian currency and are prepared in accordance with International Financial Reporting Standards. The company has added a companion presentation to today’s call, which is available on their website at www.tecsys.com/investors. Some of the statements in this conference call, including the question-and-answer period, may include forward-looking statements that are based on management’s beliefs and assumptions. Actual results may differ materially from such statements. I would like to remind everyone that this call is being recorded on Thursday, March 6, 2025 at 8:30 a.m. Eastern Time. I would now like to turn the conference over to Mr. Peter Brereton, Chief Executive Officer at Tecsys. Please go ahead, sir.
Peter Brereton: Thank you, and good morning, everyone. Joining me today is Mark Bentler, our Chief Financial Officer. We appreciate you joining us for today’s call. We continued to see strong SaaS revenue growth, up 29% year-to-date and up 22% for the quarter, which together with other revenue streams, including professional services, contributed to a record revenue quarter of over $45 million. Meanwhile, SaaS bookings were diversified across markets and geographies, and we saw continued positive growth in our RPO, now sitting at $210 million. Between new logos, renewing and expanding base accounts, and continued migration momentum, we are seeing sustained indicators of business health, reflecting steady progress toward our long-term value creation goals. I’d like to take a moment to summarize the key events of Q3 for fiscal ‘25. Mark will then walk us through the financial results in more detail. And finally, I’ll comment on our outlook, followed by a Q&A session. If you’re following along on our companion presentation, I’ll be speaking to Slide 3. Our third quarter builds on solid fiscal performance to date. We’re looking at record quarter and year-to-date total revenue and SaaS revenue, solid bookings of $4 million for the quarter, which while down compared to Q3 last year, is up 31% on a last 12 months basis, and a strong adjusted EBITDA, up 34% compared to last year. Our performance this quarter reflects strong business activity with notable momentum in healthcare. This includes two new health system wins, one in the U.S. and one in Canada. We also added another U.S. health system a few days after quarter-end. We signed two major migration deals across healthcare distribution and health systems, as well as various expansion deals, as we continue to show value once we are into an account. We continue to see growing demand for our pharmacy solutions with healthy pipeline activity, driven by general market appetite, DSCSA regulatory pressures and a growing Rolodex of Tecsys customers, who are looking at their pharmacy operations as a next strategic focus. Over the past few quarters, I’ve mentioned our focus on expanding user groups and industry workshops. This effort is showing excellent momentum in the pharmacy market, particularly where we’re currently promoting our upcoming Pharmacy Supply Chain Leadership Summit in Philadelphia with 5 customer speakers and a good mix of customers and prospects registered. We are actively engaged with our customers in finding ways to highlight the impact of Tecsys within their organizations. Since our last call, recent collaborations have included a webinar with Mayo Clinic and promotion of a ProMat session with Tecsys Children’s Hospital, reinforcing our standing as a trusted partner in the healthcare supply chain and cementing our position as the supply chain software provider for the healthcare market. We continue to see some notable activities in the general distribution market. Last month, we announced new customers. Schaedler Yesco and Kirby Risk have joined a growing list of electrical distributors selecting Tecsys. They joined Werner Electric and others in adopting a WMS that is purpose-built with specialized functionality like wire cutting. I’d like to highlight as well how our growing partner ecosystem continues to drive impact with Avalon playing a role in both of these new accounts. More broadly, partners are influencing a significant portion of our pipeline wins and rollouts with approximately a quarter of our deals involving partner collaboration. On the technology front, our partner engagements are also developing. In January, we announced the OrderDynamics connector for Shopify to help Shopify merchants streamline their order management and fulfillment processes, enhancing inventory visibility, improving order routing and increasing fulfillment efficiency. Across the board, our work with partners like KPI Digital, Avalon CSC, Shopify and others are helping to create our market – or accelerate our market access and grow our reach in the market. Regarding market conditions, we’re keeping a close eye on the international trade tensions landscape on both sides of the border. Right now, we don’t anticipate any material impact on our business. We continue to gain traction across geographies, and we’ll continue to monitor the situation. Additionally, we’ve continued to buyback shares under our normal course issuer bid, spending $1.7 million on share buybacks in Q3. And so, as we continue to invest in the products we sell and in our go-to-market strategy, Tecsys is proving to be among the best cloud-based solutions available in the markets we serve. The steady growth we have experienced affirms our vision and strategy for shareholder value. Mark will now provide further details on our third quarter and year-to-date financial results, as well as some financial guidance on key metrics.
Mark Bentler: Thank you, Peter. I’ll start with Slide 4 and focus first on SaaS. SaaS revenue growth was 22%, reaching $17.3 million. Recall, last year in Q3, we had a onetime revenue recognition of approximately $700,000 due to the completion of a product performance obligation. Normalizing for that, growth in Q3 would have been about 28%. As Peter mentioned, Q3 was a record total revenue quarter at $45.2 million. That’s up 3% from the same quarter last year. But if you exclude hardware, that growth was 9%. Professional services revenue for the third quarter was $13.9 million. That was up 7% from last year. We anticipate that professional services revenue will remain variable, influenced by the timing of project deliveries and the level of involvement from integration partners. That said, Q3 was also a record quarter for professional services bookings, which came in at $24.4 million. That was up 170% from the same quarter last year. Our professional services pipeline is now at a record level. For the third quarter of fiscal ‘25, gross margin was 47% compared to 45% in the same period last year. The key drivers here are increasing SaaS margins, as well as strength in professional services margins in the quarter. Net profit in the quarter was $1.2 million compared to $759,000 in the same quarter last year. Basic and fully diluted earnings per share were $0.08 in the current quarter compared to $0.05 in the prior year quarter. Adjusted EBITDA was $3.5 million in Q3 fiscal 2025 compared to $2.6 million in the same quarter last year. Turning briefly to our year-to-date highlights, and that’s Slide 5 in the companion deck, SaaS revenue for the first 9 months of fiscal ‘25 was $48.7 million. That’s up 29% from the same period last year. Our total revenue reached $129.9 million, a 2% increase from last year. Excluding hardware, revenue grew by 10%. For the first 9 months of fiscal ‘25, our adjusted EBITDA increased to $9.1 million. That’s up from $6.8 million in the same period last year, and that’s a 33% year-on-year increase. Fully diluted earnings per share for the first 9 months of this year were $0.18 compared to $0.11 in the same period last year. We ended Q3 with a solid balance sheet. We had cash and short-term investments [Technical Difficulty] and no debt. As Peter mentioned, we used about $1.7 million of cash in the quarter to buy back shares under our NCIB. And additionally, the Board yesterday approved a quarterly dividend of $0.085 a share. Turning to financial guidance on Slide 6, we are maintaining our fiscal ‘25 guidance for SaaS revenue growth of 30% to 32% and adjusted EBITDA margins of 8% to 9%. For fiscal ‘26, we’re maintaining guidance for adjusted EBITDA of 10% to 11%. We saw strong Q3 2025 professional services bookings and year-to-date growth in SaaS bookings. However, the timing of these bookings is expected to result in full year fiscal ‘25 EBITDA margins and SaaS revenue being at the lower end of our guidance range. Based on actual third quarter hardware shipments and visibility into overall fourth quarter revenue, we’re raising fiscal 2025 total revenue growth guidance from flat to 1% to 3% growth. And we expect to provide fiscal 2026 guidance with our Q4 and full year fiscal 2025 earnings release. I’ll now turn the call back to Peter to provide some outlook comments.
Peter Brereton: Thanks Mark. Tecsys’ third quarter results reflect the consistent execution and momentum that we’ve built. Our solid footprint in key markets reinforces our confidence that we are well positioned to upsell and cross-sell within healthcare. Our value proposition in pharmacy is compelling. There is heightened interest in this area, and we believe we are uniquely positioned to capitalize on this opportunity. We continue to see this as an important growth engine for us. Our converging and general distribution business also represents a substantial market opportunity. We are pursuing new marketplaces and geographies within this space. We are pleased that our pipeline is robust, and we continue to see strong buyer intent across our verticals. In the coming months, in addition to hosting that Pharmacy Supply Chain Leadership Summit in Philadelphia, we are making a big showing at ProMat in Chicago and gearing up for what looks to be our largest user conference yet this June in Nashville. Our lineup there ranges from longtime Tecsys customers like Elkay Packaging, AMG Medical and Trinity Health, alongside newer customers like Nissan and Accuristix. With strong market momentum behind us, we have an exciting opportunity ahead. As mentioned earlier, we are monitoring current international trade tensions and will adjust course, should those impacts become material. For now, we’ll continue to invest to drive growth in a market that is changing, changes that are spurred by aging legacy systems, digital adoption and a shifting geopolitical landscape. We often see change acting as an accelerant for supply chain transformation, so we will find those opportunities and capitalize on them as they emerge. And so, in summary, I want to remind analysts and investors of our key themes for fiscal ‘25. First, an emphasis on continuing to refine our SaaS software so that it is easy to use and upgrade and even easier to recommend to peers. Second, a continued strategic partnership approach, allowing us to tap into new opportunities and fuel our scalability around the world. Third, we are committed to harnessing the full potential of data to drive value and innovation across our solutions. A final point I’d like to stress, across our markets, we’ll continue to prioritize customer satisfaction and success. We have long stood by the philosophy of customers for life. A big part of that formula is to deliver value quickly, stay connected and then expand on the value delivered. With that, we’ll open the call up for questions. Thank you.
Operator: Thank you. [Operator Instructions] Our first question comes from Amr Ezzat of Ventum Capital Markets. Please go ahead.
Amr Ezzat: Good morning, Peter and Mark. Thanks for taking my questions.
Peter Brereton: Good morning.
Mark Bentler: Good morning.
Amr Ezzat: Can you give us a bit more color on the growth this quarter? First, you mentioned two IDN wins. I wonder, are these pharmacy-focused clients? Then secondly, I’m trying to get a sense of how large these new logos are. Is your $650,000 average deal size a good assumption to make?
Peter Brereton: Trying to think, first of all, I’ll comment on the types of accounts. Right now, I will tell you, this is absolutely typical for every time we have expanded into a new area of hospitals. The pharmacy pipeline is – I think there is many accounts in the pharmacy pipeline that are waiting to see how this next wave of go-lives go. So we have a wave of go-lives that are just sort of getting near the finish line now. We have one that went live in January, a couple that are supposed to go live in March or April. And we’ve got – we know we have a number in the pipeline that are waiting to see how those go. So these were not pharmacy deals. In terms of deal size, these would have been, I think, Mark, a little below average, right, if you average those two?
Mark Bentler: Yes. Very slightly.
Peter Brereton: Yes, very slightly below average. The overall average, Amr, is holding. Like if you look through the year and if I look through our Q4 pipeline, and so on, that overall average is holding quite well. But I think these two deals would have been a little bit below average.
Amr Ezzat: Okay. That’s helpful. On the pharma, I think it was last quarter when you said like 1/3 of your pipeline is pharmacy. I just wonder, is there a way to quantify how much pharmacy contributes to SaaS revenues today or total revenues today? And how do you sort of see that evolving in 3 or 4 years, given how large this pipeline is? Do you expect it to go to a third of your revenues or a third of your SaaS revenues eventually?
Peter Brereton: Yes, as it reaches a more mature run-rate over the next few years, I would – I think you’re spot on. It should logically reach about a third of our total hospital revenue. If you look at where it’s at today, it would be – I’m sort of shooting off the top of my head here, but I would put it at less than maybe 5%, 6%. It’s just getting more, right? Would you agree, Mark? It’s in that range, right?
Mark Bentler: Yes, definitely less than 10%.
Peter Brereton: Yes.
Amr Ezzat: Okay. That’s quite helpful. Then maybe a conceptual one, of the IDNs that came to you specifically for pharmacy, so exclusively, I guess, for pharmacy, have any expanded or, I guess, in discussions to expand into other solutions? Or do you expect these to remain pharmacy-only clients? I’m just trying to get a sense of how the expansion road map for pharma customers compares to those who start with your core healthcare offering.
Peter Brereton: Yes, it’s a great question. We just don’t have enough history to answer that question yet. Like the first two that we did, one of them has remained pharmacy, but we expected them to. They’re small sort of university hospital network. The second one we did was already a general supplies and CSC and point-of-use client. They added pharmacy. The ones that have come on since that are – have come to us just for pharmacy. As I say, they’re just going live now. So if it follows a typical pattern, they will want to be live and stable. Typically, they end up wanting to be live and stable for sort of a year or so before they’re ready to cycle back and look at starting to add on other areas of the hospital. So we’ll start –like I’m assuming that they will expand into other areas as most hospital networks seem to, but we will really only know that probably about a year from now.
Amr Ezzat: Okay. I’ll ask you again in a year, I guess. I will pass the line. Thank you.
Peter Brereton: Thanks.
Mark Bentler: Thanks, Amr.
Operator: Thank you. Our next question comes from Gavin Fairweather of Cormark Securities. Please go ahead.
Gavin Fairweather: Hey, good morning. Thanks for taking my questions. I appreciate the intro comments in terms of the healthcare momentum that you’re seeing in the pipeline. But maybe just in terms of the political environment, I remember, during the first administration, all the threats around Affordable Care Act led to some deals pushing, and we’ve seen some headlines around potential Medicaid cuts here recently. So curious what you’re hearing from your healthcare customers on that front and how you are planning to maybe adapt your go-to-market motions in case there is some disruption there?
Peter Brereton: Yes, we are having to really just sort of watch it along with all the rest of you and trying to figure out where this is going. I mean, there is – so far, there is very, very strong political support in Congress for not touching Medicaid, but that’s probably the one area of sort of potential risk. I mean a lot of hospitals have a fair number of Medicaid customers and like Medicaid-funded customers. And so, they would be sensitive to a revenue hit if Medicaid were to get substantially slashed. But it seems that, that is highly unlikely at this point. But that’s really the one thing we are keeping an eye on. I mean the tariffs don’t seem to be affecting us at all. We don’t even – in many ways, we don’t really ship software across the border. I mean the software resides in U.S. public cloud infrastructure, and we simply open up access to it from there. So, we don’t expect any issues on the tariff side. So, it would really come down to the impact on Medicaid. And as I say, so far, that’s been treated as sacrosanct. So, that’s the one we are keeping an eye on. I mean the beauty, of course to SaaS and the whole SaaS world is that it is recurring revenue. So, if we did hit a slowdown with a sudden adjustment to a lower Medicaid payout rate or whatever, there is no question it would hit new bookings, but it really wouldn’t hit existing revenue. So, we would have to just adjust our investment in sales and marketing and decide what to do based on what the actual booking rates look like. But at this point, we don’t anticipate any. And the – certainly, the feedback from our healthcare clients right now is full speed ahead.
Gavin Fairweather: That’s great to hear, and that dovetails well into my next question. Just in terms of the healthcare pipeline, I mean how does that look? I think in the intro comments you talked about a strong pipeline, but specifically in healthcare, how does that look? And how does that kind of break down between expansion versus kind of new IDNs?
Peter Brereton: Yes. It’s rough numbers right now and Mark can correct me here. We were just looking at those numbers yesterday, the overall pipeline in healthcare up about 20% from last year. And breakdown right now, if I remember rightly, is what, Mark, two-thirds new, one-third base?
Mark Bentler: Yes, that’s right.
Peter Brereton: Yes. It’s fairly heavily dominated to the new – or skewed to the new side right now. And the challenge always with pipeline, as you may be aware, as you not only have to measure pipeline size, but also you have to measure pipeline velocity. And coming out of calendar ‘23, when they were all losing money or most of them were losing money, pipeline velocity was quite slow in calendar ‘24. They have now been making money for over a year. Most of them are cash flow positive. And as they are, the pipeline velocity seems to be accelerating. So, right now, we are trying to sort of figure out what the bookings are going to look like for next year. There is obviously a lot of moving parts to that. I mean there is – I mean we have already talked about the political landscape. There is the growing pharmacy side of things. There is the excitement around some of the early successes there, as well as the regular existing areas of focus. So, we will see, but it seems like the velocity is moving in the right direction, as well as the size of the pipeline.
Gavin Fairweather: Appreciate that. Good to hear. And then maybe – I don’t know, who want to take this, either Mark or Peter. But on the professional services, very impressive bookings this quarter, I think you previously said you were planning to keep the size of the team roughly flat. I guess I am wondering if that’s still the case or – and you are just going to run kind of PS utilization at 90% for a few quarters. And what would that kind of imply for quarterly billings and the PS gross margins?
Mark Bentler: Yes. We have said before at the current staffing levels, we sort of feel like $14 million to $15 million, pushing up to $15 million PS revenue quarters kind of taps us out. So, we are actually looking at this pretty carefully to figure out when it’s time to start adding new talent there. It’s kind of – it takes a little while to get people up to speed there. We also have to be sensitive to the fact that we do have a – this ecosystem that’s developed quite nicely over time. So, we want to make sure that there is professional services work that we could pass around, in the right circumstances, to some of our partners. But as that PS revenue number starts to creep up over $14 million and then pushes up towards $15 million a quarter, we are going to need to start adding heads.
Gavin Fairweather: Okay. I appreciate that. And then, lastly for me, probably for Mark. What FX rate have you assumed in your fiscal ‘26 margin guidance that you have provided? And maybe you can remind us how the hedges are rolling over the next few quarters.
Mark Bentler: Yes. We are pretty hedged out there, the comp – on a comp basis. We have – you can see in our notes to our financial statements, we have got USD119 million worth of hedges that cover out into fiscal ‘26 and fiscal ‘27. So, our net exposure on currency – on U.S. dollar currency is substantially hedged in ‘26 and ‘27. And those hedges are in the $1.35, $1.36 range, so – which is kind of where we have been the last 2 years on hedged value. So, we kind of expect that – I mean and what we have tried to do is take the FX noise out of that trend. And like I said, we are very hedged on that exposure. So, that’s what we expect to be happening.
Gavin Fairweather: Okay. I will pass the line. Thanks so much.
Peter Brereton: Thanks Gavin.
Mark Bentler: Thanks Gavin.
Operator: Thank you. We also have another question from John Shao of National Bank. Please go ahead.
John Shao: Hey. Good morning guys. Thanks for taking my question. I just want to dig into – a little bit into the PS bookings this quarter. So, could you give us a bit more color on the nature of those professional services? What is the primary driver of the year-over-year growth in the bookings? Is it just one large deals or multiple smaller ones? And most importantly, do you think this is going to be a leading indicator of the future SaaS growth?
Peter Brereton: Overall, John, there was one deal in the quarter which was definitely quite large. It was actually an existing long-term client of ours that signed to migrate from the old on-prem perpetual license to a new SaaS – or a new SaaS infrastructure. And that came with a fairly substantial pro services engagement. The rest of them were pretty normal. And the funny thing is, even if I knock out that, it was still a home run from a PS point – even if I take that one right out, it was still a very strong PS booking quarter. So – and the rest of the bookings were, I would say, pretty normal. They were PS bookings for expansions and add-ons, and in some cases, upgrades, and so on. So, it – again, some of this, I think is just a delayed effect from what I mentioned earlier. The hospital networks had run for a period of time, cash flow negative, and they were ratcheting back all their spend on consulting services. I mean they were cutting back wherever they could. Either through that, they are out the other side. They are trying to accelerate their transformation. There is a lot of pressure around data as well, cleaning up data to make sure that – I mean everyone is trying to figure out how to truly harness AI. And what they are all finding is that if your data is poor, AI is useless. So, there is a lot of focus on sort of cleaning up the data. Some of our latest releases have a lot of AI capability in them for cleaning up the item master file and related files. So, that’s driving some movement forward. So, there is sort of a lot of tailwinds in there, but there was one fairly substantial deal that definitely skewed it even higher.
John Shao: Got it. That’s great. Go ahead.
Mark Bentler: There is always lumpiness in there, too, right, John, like whether it closes in one quarter or the next quarter. In Q2, we had professional services that were actually – they were actually down compared to the same period last year. So, some of this is just like the timing of how that happens. But even if you solve for that, it was – as Peter said, it was a home run quarter.
John Shao: Thanks. So, my understanding is, the company has been delegating PS works to your partners, so any changes to that strategy, given this quarter’s strong bookings?
Peter Brereton: No, not really. I mean we continue to work with our partners. I mean there is – and the partners get involved at all stages. I mean we have partners where a lot of their work is done before we even get involved in the account. We have other partners that only come in sort of after we have landed an account. And some of them more focus – are really experts on our products and can do almost all of the work. Others are sort of – especially the larger SIs are more focused on the overall project management and integration work and testing and that kind of thing. So, we have got the whole spectrum, but there is no real change to approach here. We do occasionally sub some work out to some of our partners if we get overloaded. And occasionally, they sub work out to us if they get overloaded. So, it’s quite a collaborative environment between us and our partners.
John Shao: Okay. Thanks for the color. And in terms of your complex distribution business, there has been a lot of noise on automobile supply chain in North America lately. And given your exposure to that market, what do you hear from your customers and any implications to your business at this point?
Peter Brereton: There has been no impact yet. I find it hard to believe that there won’t be in some sectors. There is just so much certainty – uncertainty, I mean how do you do any long-term planning in this kind of environment. It’s fundamentally impossible if you are in the kind of business that is affected by tariffs. So, I expect there will be some impact. At the same time, if I look at the areas, the markets that have been performing well for us in the last year, they are virtually unaffected and still doing really well. We mentioned on the call a couple of electrical distributors we have just signed. Well, most electrical distributors buy local. They are buying product made in the U.S. They are holding it and selling it to customers that are in the U.S. for construction that’s done in the U.S. So, in that case, they are completely unaffected. So, we will – I mean complex distribution has always been what I have sometimes described as a heat-seeking business. It’s more of a horizontal than a vertical. And part of the trick is to constantly be analyzing the landscape and figuring out where the hotspots are and going after that hotspot. Some of the hotspots lately have been – I mentioned electrical. Another one is drugs. We have done a lot of business in drugs in the general distribution business, which of course is somewhat related to our hospital healthcare business, but not entirely. You will notice in the latest investor deck actually that we just put out, we have added some clarity around that in the slide that shows the mix of clients. We used to sort of define healthcare as just hospitals. But we have decided to more broadly define healthcare because they do interact – they both require, in some cases, DSCSA compliance. They both require the same track and trace capability and so on. So, we have lumped together now sort of the full end-to-end healthcare supply chain from basically finished goods, all the way through to patient bedside. And we are defining it that way. And on that basis, healthcare represents 76% of our SaaS revenue. So, you can see the strength in that market and the general distribution market is also, to a significant extent, healthcare powered.
John Shao: Okay. Maybe one last question for me, on your hardware business, it’s a nice rebound from last quarter. Just wondering if that business will be subject to tariffs if you sell into your U.S. customers?
Peter Brereton: That business, some of that business will be, at least at this point, the proprietary technology that we actually manufacture, we – or subcontract the manufacturing, that is currently done in Quebec. So, that would be subject to tariff. A lot of the rest of that business is – it’s hardware product that we buy and resell, and we can buy it in the U.S. and sell it in the U.S. So, I think that, that will be less affected. But even some of that stuff, of course is manufactured in China, for instance. And now there is 20% tariffs coming in on that. So, there are going to be some price adjustments right across the board in the area of hardware. At the same time, people still need hardware. So, it may just keep right on moving. We are not sure.
John Shao: Okay. Thanks for the color. I will pass the line.
Peter Brereton: Great. Thanks.
Operator: Thank you. We also have a question from Suthan Sukumar of Stifel. Please go ahead.
Suthan Sukumar: Good morning gents. For the first question, I want to ask what percentage are you currently at in your customer base migration to SaaS? And what incentives do you have here to expedite this? And what’s the typical revenue uplift on these migrations?
Mark Bentler: Yes. So, I mean I think – Suthan, thanks for the question. The way we look at that is between the two markets. In healthcare, we are quite far along in our migration to SaaS. The number of base customers left that are on-prem and in that vertical is getting pretty small. On the complex side, the more traditional complex side, there is more – there is quite a bit more on-prem customers that are left that we still kind of work on. And the tail on that will – it will be still multiple years long on that side. When we sell SaaS to those on-prem customers, we typically get about a 2.5x uplift on revenue. So, our maintenance – a customer paying 100 of maintenance is going to pay something like 250 on SaaS. That’s the general rule of thumb. It varies quite a bit because quite oftentimes, when they are going to migrate up to the next generation of – quite oftentimes, there is other things motivating that, which could mean expansion of functionality, etcetera. So, that would have a positive impact on that multiple. But we typically think about that as a 2.5x.
Suthan Sukumar: Okay. Great. On the distribution business, specifically, you guys mentioned you are moving into new markets. Can you speak a little bit about that strategy? Is that pushing into new end markets or geographies? And from a roadmap perspective, product roadmap perspective, what are you guys prioritizing today?
Peter Brereton: Yes. First question, from a geography standpoint, it’s really an effort to sort of continue to crack open more of the European market. I mean the European market is slower right now. The funny thing is, Denmark, where our office is, the overall GDP growth is quite strong, but most of that is powered by Ozempic and Wegovy drug home runs that are – that company is headquartered there. So, aside from that, GDP growth across Europe is fairly low right now. But there is – we are still seeing some interest and some opportunity, particularly again, in the end-to-end healthcare supply chain market, global healthcare distributors that – global drug distributors, etcetera, that need a good supply chain platform. So, we are putting a lot of focus and effort around that right now to try to expand more of the global footprint there. From the standpoint of our roadmap, a couple of different areas we are focused on. I mean we continue to invest heavily in pharmacy. There is still a lot of work to be done there. Every time we sort of work with a new client, we end up learning a few more things about pharmacy, and we have got a whole team that’s sort of a rapid response team, designed to sort of figure that out and get it into the next release. So, that continues. I mentioned AI earlier. We have our innovation lab, continues to focus on real-world practical ways to deploy AI. There is a lot of frustration in the business community right now around money that’s being spent on AI with very little tangible benefit. And so we are focused on sort of actually delivering true sustainable value off of AI. We have got – we are building out the whole sort of – well, it will basically be our own LLM that will be based on Amazon technology that will allow our clients to query not only how to do things, but to literally sort of chat to get answers. What are my trends, what do I need to be worried about today, what’s going on in my Atlanta warehouse, etcetera. So, we have got some interesting things coming out there. So, overall, it’s pharmacy, data and AI-powered capabilities off of that data. I mean those are the big areas. I mean if you drop down to the next level, I mean I am sure if my product managers were listening to this call, they would be saying, well, you are forgetting the nine other things we are also working on. But big picture level, those are the priorities right now.
Suthan Sukumar: Okay. Great. That’s helpful. And then a last one for me, just on the bookings and backlog conversion to revenue and the timing around that, can you speak to some of the moving factors here that’s underlying your guide now that’s moving to the lower end of the range?
Mark Bentler: Yes. I mean in terms of SaaS revenue, you see where we are at year-to-date. So, we are at 29%. I think some people – I think it was easy to forget about what happened last year when we had that kind of oddity in Q3 of last year, which kind of slowed down the comp growth this quarter to 22%. And if you take that out, it would have been 28%. But all that said, we are at 29% year-to-date right now. And if you kind of do the math on the bookings, we just closed $4 million. The revenue on that tends to start pretty quickly. So, it’s pretty easy to do the math on the impact of that. We take a forward look on what we think is going to book in Q4. The timing of those bookings are going to drive some incremental revenue into that Q4, but a lot of what we book in Q4 won’t have a massive impact on SaaS revenue in the quarter. So, at this stage, it’s pretty easy to sort of read the tea leaves and see kind of where we are going to fall in there, and that’s what motivated the guidance on the lower end of the range.
Suthan Sukumar: Okay. Great. Thank you for taking the questions. I will pass the line.
Mark Bentler: Thanks Suthan.
Peter Brereton: Thanks.
Operator: There are no further questions at this time. I would now like to turn the call back over to Mr. Peter Brereton for his closing remarks. Please go ahead, sir.
Peter Brereton: Great. Thank you everyone for your time. And as always, if you have additional questions, please don’t hesitate to reach out to Mark or I. And we will look forward to talking to you sometime right around the end of June or first week of July as we release our fourth quarter results. Thanks everyone. Bye for now. Have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.